Operator: Welcome to the Atlantica Second Quarter 2021 Financial Results Conference Call. Atlantica is a sustainable infrastructure company that owns a diversified portfolio of contracted renewable energy, storage-efficient natural gas, transmission lines and water assets in North and South America and in certain markets in EMEA.
 Just a reminder that this call is being webcast live on the Internet and a replay of this call will be available on Atlantica's corporate website.
 Atlantica will be making forward-looking statements during this call based on current expectations and assumptions, which are subject to risks and uncertainties. Actual results could differ materially from our forward-looking statements. If any of our key assumptions are incorrect or because of other factors discussed in today's earnings presentation or because of other factors discussed, including the Risk Factors section of the accompanying presentation and in our latest reports and filings with the Securities and Exchange Commission, all of which can be found on our website. Atlantica does not undertake any duty to update any forward-looking statements.
 Joining us for today's conference call are Atlantica's CEO, Santiago Seage; and CFO, Francisco Martinez-Davis. As usual, at the end of the conference call, we will open the lines for the Q&A session.
 I will now pass you over to Mr. Seage. Please, sir, go ahead. 
Santiago Seage: Good morning, and thank you for joining us for our second quarter conference call. I will start with a few opening remarks. During the first half of this year 2021, we have had what we believe is a strong performance with CAFD growing at close to 13%, up to close to $110 million. Following that, our Board of Directors declared a quarterly dividend of $0.43 per share. And additionally, we have been able, during this second quarter, to successfully issue $400 million in green notes. That have allowed us to extend part of our corporate maturities from 2025 to 2028.
 Regarding growth, we have closed 2 previously announced investments, 135 megawatt contracted renewable energy plant in California and a 49% stake in a wind portfolio in the U.S. So in general, we believe making good progress for -- regarding our plans for this year, 2021.
 I will now turn the call over to Francisco, who will take you through our financial results. 
Francisco Martinez-Davis: Thank you, Santiago, and good morning, everyone. Please turn to Slide #4, where you will be able to see our key financial statement for the first half of 2021. Revenue in the first half of 2021 reached $611.2 million, which represents a 13.5% growth on a comparable basis, excluding foreign exchange and a nonrecurring impact in our renewable sector. Adjusted EBITDA, including unconsolidated affiliates, increased by 6.3% up to $404.2 million. Regarding cash available for distribution, we generated $109.9 million in the first half of 2021, an increase of close to 13% year-over-year.
 Regarding our performance by geography and sector. In North America, revenue increased by 13% to $178.8 million in the first half of 2021, thanks to the recently acquired assets and higher solar radiation, while EBITDA decreased by 5%. In South America, revenue and EBITDA increased by 5% and 1%, respectively, also due to recent investments. EBITDA in the EMEA region increased by 18% compared to the first half of 2020, thanks to new assets, higher revenue in Kaxu and higher solar radiation in Spain. Regarding results by business sector. In renewable energy, our largest sector, EBITDA increased by 7%, thanks to the reason previously mentioned.
 Now let's please turn to Slide #5, where we will review our operational performance. Electricity produced by our renewable assets reached 1,984 gigawatt hours in the first half of 2021, an increase of 34% compared to the same period 2020. The increase was largely due to the contribution of assets recently acquired. Production also increased in EMEA and North America, where solar radiation was higher. Looking at our availability-based contracts, efficient natural gas transmission line and water assets have contributed to achieve high availability levels in the first half of 2021. 
 Now let's move to Slide #6 to walk you through our cash flow. Our operating cash flow in the first half of 2021 reached $246 million, showing a very significant increase versus the same period of 2020, mostly thanks to an improvement in variations in working capital. Investing cash flow for the first half of 2021 was $327 million and reflects the acquisitions closed during the period. Financing cash flow for the first half of 2021 includes a positive impact of $42 million from the $400 million green notes issued in May that we used to prepay our 2019 note issuance facility, extending the maturity from 2025 to 2028. 
 Financing cash flow also includes a positive impact of $131 million, corresponding to the second tranche of the equity raise closed in January. The schedule -- the project repayments for approximately $164 million and $106 million of dividends paid to shareholders and noncontrolling interest. All in all, the net change in consolidated cash for the first half of 2021 was a decrease of approximately $177 million.
 On the next slide, #7, we would like to review our net debt position. We closed the first half of 2021 with net corporate debt of $942 million after paying for most of the acquisitions that we have recently announced. With this, our net corporate debt to CAFD pre-corporate debt service ratio stood at 3.4x. Net project debt as of June 30, 2021, was $4,771 million.
 Let me turn the call back over to Santiago. 
Santiago Seage: Thank you, Francisco. And turning to the last page, Page 8. As previously announced, we have closed the acquisition of several renewable energy assets as part of our growth strategy, exceeding the growth of the investment target we have for the year. Obviously, we continue working on a number of growth opportunities that we believe should allow us to continue delivering on growth targets going forward. And we remain optimistic regarding opportunities. 
 And with that, operator, we are ready for questions. 
Operator: [Operator Instructions] Your first question today comes from the line of David Quezada, Raymond James. 
David Quezada: My first couple of questions here, just on the outlook for growth in your respective markets. I'm interested in your thoughts on Spain, specifically. It seems like it's a pretty hot market for renewable growth. But at the same time, PPA prices, it seems like they have been falling, but there all -- has also been a fair amount of M&A in the region. Recently, portfolios changing hands. Just wondered if you could give us your thoughts there, what kind of opportunities do you see for Atlantica there today. 
Santiago Seage: Great. David, so regarding Spain, probably, we will agree with the short summary you made, meaning a hot market with all the advantages and disadvantages of a hot market. So it's a market where, obviously, we are present. We have a significant position, as you know. So we have always been looking at opportunities, and we continue looking at opportunities. And if we find opportunities with the right numbers, the right synergies, we will go ahead. 
 Although at this point in time, probably there are many other players who want to be part of that market, who have been and might continue being very aggressive regarding prices. And we will only invest if the numbers work. So we will see going forward. But like always, the numbers make sense. 
David Quezada: Okay. Great. That's great color. And then just thinking about the U.S., obviously, a lot of news lately about big renewable power and infrastructure plans there. You've already been quite active, obviously, in that market. Do you see things changing in terms of the outlook in the U.S. in terms of there being more opportunities? Or does it -- considering that you've been primarily looking at M&A so far, is it primarily kind of status quo for you there on the outlook? 
Santiago Seage: No. Going forward, we do expect North America and the U.S. specifically to be a significant source of growth for us. So we are very active. The market keeps growing and by now is very large in all the different phases from -- if you want development, including operating assets changing hands. So we do see opportunities, and we continue spending a lot of time in -- around different opportunities in different markets within the U.S. And we do believe that the next few years, we are going to continue to see lots of opportunities and a lot of things because many current owners of assets have been and will continue selling or looking to sell what they own, and that creates opportunities for players like us. 
David Quezada: Okay. Excellent. And then just a quick question on the U.S. wind portfolio. You acquired recently some of those. Well, I think, one of those projects has a PPA coming up in, I believe, it's 2022. I'm just curious if you could talk about the potential for recontracting or how you could go about recontracting that asset now that, that acquisition is closed. 
Santiago Seage: Yes. In general, that portfolio, as you know, has strong contracts with very good offtakers, but shorter than our usual contract. And we believe that there's a significant upside in that. And obviously, in each of the situations, in each of the states, the answer could be different. The answer to regarding how we are going to extend the life of those assets, in some cases, it might be about repowering, a full repowering of the asset. And in some other cases, it might be about simply extending the life of the asset through new PPAs shorter or longer. 
 So we are not worried at all. On the contrary, I think that what we need to do is make sure that, with our partner, we choose the best option in each of the 4 assets. And it's going to be different by state, and it's going to depend, obviously, on what price advantages we have going forward and how each of the market behaves going forward. In any case, I think that recent events in the sector are going to be helpful, meaning recontracting prices. That outlook, probably today, is better than 6 months ago for a number of reasons, and we expect to be able to benefit from that. 
David Quezada: Okay. Excellent. That's great color. Maybe just one last one for me. We know the topic of inflation is getting a lot of attention today. And I know that your contracts are almost all indexed to inflation. But I'm just curious if you see any impact to your business elsewhere as a result of some of that -- some of those rising costs we've seen in solar and wind lately. 
Santiago Seage: No. For better or worse, as you know, we are heavily, heavily contracted company. So within the existing portfolio, as you mentioned, we have escalation factors in many contracts. So we are -- we believe, we are well protected against inflation. And for new assets, our exposure to construction is very, very small. So again, we are a low-risk value proposition. And the advantage and disadvantage of that is that, with things like inflation happening now, the impact on us probably is significantly lower than in other companies you or your colleagues typically cover in the U.S. or elsewhere. 
Operator: Your next question comes from the line of Julien Dumoulin-Smith from Bank of America. 
Julien Dumoulin-Smith: So perhaps just to follow up on some of the latest drops here, if you can expand a little bit. How do you think about the shorter tenor here on the lease wind deal? Just thoughts about that perspectives. Obviously, you find value, and North American markets are a little bit more competitive. But how do you think about that: a, signaling towards future deals; and b, what that means in terms of recontracting expectations and maybe implicit opportunities therein? 
Santiago Seage: So I don't think -- the fact that, that specific transaction has shorter PPAs, there's no signaling at all. Actually, the previous one was a 19-year PPA, the one in California. So each situation is different. As you know, for us, making sure that the numbers work is extremely important. And in some situations, the number will work with very long PPAs. And in some of the situations, the numbers might work with a slightly short-term PPAs. But it doesn't mean that there's a change anywhere. 
 In this specific situation, as I mentioned before, the key is that there are 4 different assets in 4 different situations in 4 different states, subject to different dynamics in each case. And we don't have a crystal ball, so it's difficult to be able to identify today what is going to happen with each asset a few years down the road.
 What we know is that, regardless of whether there could be a full repowering or whether we are going to be signing shorter PPAs without doing a repowering or whether part of the production is going to go merchant, who knows? What I can tell you, Julien, is that in any of those scenarios, the value creation would be significant for us because it's an asset that should be competitive in each of those markets whenever the PPAs come to the end of their life. So we are not worried about that recontracting. 
 The average of the portfolio, as you know, continues being 16 years. So I don't think we are signaling a trend or anything. We are -- we just thought that there was value to be created here in an investment that, from that point of view, is a bit different than the rest of our portfolio. 
Julien Dumoulin-Smith: Sure. Understood. Fair enough. Quick related question here. As you think about Coso here, expansion opportunities or, frankly, just a desire to expand your portfolio west as well. Obviously, very interesting setup vis-Ã -vis resource adequacy and just their underlying need therein. Does that drive any considerations in your mind, especially if you think about just reinvestment in existing assets? [indiscernible] ? 
Santiago Seage: Yes. So probably the answer from a desire point of view would be yes to all your questions, meaning we have made this investment. And following a little bit of reasoning, we believe that California, the product you need to sell in California is a product that can help to turn on the light 24 hours. So you need to look at resource of equity and you need to look at a number of things where these assets specifically fits very well. 
 And going forward, we would love to invest more in the southwest. We have critical mass. There are some operating synergies. There are some commercial synergies. We would love to be able to expand some assets whenever the time comes. So probably at this point in time, it's too soon to be specific about that. But clearly, we'll be looking at opportunities to continue growing in the southwest, not only in California. 
Julien Dumoulin-Smith: Yes. Understood. Excellent. And then last question here, if I can, just to sneak it in here. PTS, just what's the status there, update there and then maybe ATS as well? 
Santiago Seage: Yes. So in PTS, as you will see in our longer disclosure, we have reached an agreement with the partner, and we have left that project. The financing was not -- has not closed, the project financing. And therefore, the asset does not see that criteria, and we are simply exiting without any positive or negative impact. So it's not part of our growth portfolio anymore as we have been at least hinting could be the case for a few quarters. 
Julien Dumoulin-Smith: Right. And ATS? 
Santiago Seage: Which one? Sorry. 
Julien Dumoulin-Smith: ATS. Sorry. I'll take that off-line. 
Santiago Seage: Okay. 
Operator: Your next question comes from the line of Stephen Byrd from Morgan Stanley. 
Stephen Byrd: I wanted to build on a couple of questions that have been asked. Thinking about repowering opportunities in the future, I've been thinking through, in some ways, I guess, the cost inflation environment is actually potentially beneficial for repowering, just in the sense that the cost of repower is typically quite a bit lower than the cost for completely new installations. Could that be an area of benefit where you could essentially offer a repowered product that's really even more advantageous compared to new projects that may face sort of greater cost escalation issues? Or is that -- are you really not in practice, seeing that as an impact? 
Santiago Seage: I think it's too soon. At least, myself, I'm not sure how much of this inflation is going to be permanent and how much is not going to be permanent. So I think it's difficult to be very precise regarding your question. As of today, I would agree with you. I think that, that trend, meaning PPA prices increasing, should be positive because probably that PPA increase should be higher than cost increases. But we need to wait a few quarters and see where costs settle and where PPA prices settle. 
 It's not only the inflation trend. Also, what happened in Texas during the winter, I think, explains also some inflation in terms of PPA prices. That probably should be positive for situations like the one you described, but I wouldn't draw too many conclusions. I think that it's difficult today to see exactly where PPA prices are going to land and where costs for solar and wind are going to be a few quarters from today. 
Stephen Byrd: That's helpful to get your feedback on that. And then maybe building on a question about sort of grid reliability. I mean we're noticing really all over the world issues with grid reliability. And you have really a fantastic footprint. And I'm just curious, in terms of potential for storage, what you're seeing both in terms of customer interest in sort of providing a semi-firm product. But also just on the technology side, storage technology, storage cost reductions that you're seeing. Just I want to make sure I'm thinking about the opportunity around storage to provide better sort of grid reliability services for customers. What -- how are you thinking about that opportunity set? 
Santiago Seage: I think this is going to be extremely important going forward. Obviously, we're already seeing significant growth around what you're describing around the storage and, in general, firm power. The answer today is quite different by geography. So you are seeing states where regulators are pushing for batteries. You are seeing geographies where regulators are changing regulation to make sure that they get more firm power. And over the next 5 years, I think that we are all going to witness significant growth around here.
 In many cases, you guys tend to think about batteries as the solution for this problem. And probably, the reality is going to be a bit more complex. So I think that we're going to see different flavors of storage. Batteries, clearly, are going to be there. But I think that we are going to see other technologies, providing longer storage probably. We are going to see combinations of different technologies. We are going to see new regulations and probably still lots of things need to happen there. 
 On our side, we plan to be part of that. And we do believe that in the next 5 to 10 years, a significant percentage of our investment is going to be around storage or around solutions that are able to offer firm power. It's not only storage. There are many other ways to give firmer power.
 But the times of selling kilowatt hours in many geographies start to be over. And now it's about how you can really sell dispatchable power, dispatchable clean power. 
Stephen Byrd: That's really helpful. Maybe just following up on that, so it sounds like that makes a lot of sense that contracts will evolve and there will be more sort of firm or semi-firm. And when you think about the risk of delivering sort of firm or semi-firm, you feel comfortable with those risks given your experience, given what these various types of storage technologies can do. In other words, the risk/reward could be favorable for moving into more of those sort of firm or semi-firm contract structures. 
Santiago Seage: So my answer will be yes, but that -- we plan to be able to achieve that by trying not to be a pioneer on some of the things you are discussing. So I personally do believe that some players are taking some significant risks at this point in time. Because, obviously, there's some technology risk in what we are discussing and there's some market risk. And I believe that those investments are going to fit our investment profile, but you need to be careful. You cannot sign any contract they put in front of you. We saw it, and it's a different situation. 
 But in Texas, many people discovered that hedge agreement is not a PPA. Storage is an area where you need to be careful because PPAs get more complex, and you need to understand what you are signing in order to be able to assess the risk you are taking. So yes, we believe, we've been doing this long enough to manage the risks. But clearly, you need to be careful because it gets more complicated. 
Operator: Your next question comes from the line of Colton Bean, Tudor Pickering Holt. 
Colton Bean: Just a follow-up there on the storage discussion. Could you expand on which types of technology you would consider investing in to solve that storage component? 
Santiago Seage: Yes. At this point in time, we have, for example, a battery equipment, let's say, in one of our assets, and we are comfortable from a technology point of view with batteries. And going forward, we will be considering other technologies, providing storage, including things like thermal storage or other technologies as they prove, obviously, that the risk is low enough. So probably, at this point in time, it's mostly batteries where, from a technology point of view, we feel that they have been fully proven. 
Colton Bean: Great. And then just to follow up there, a similar question to the one you received on Spain, but on the Colombian market. It looks like recent auctions have become increasingly competitive. So can you just update us on what you're seeing in-country? 
Santiago Seage: Yes. Colombia is a new market for us. As you know, we are making our first investments now. We intend to grow over the next few years so that Colombia becomes a market for us, let's say, it will never be a huge one from a portfolio management point of view. We want to grow in Colombia, but we don't want Colombia to be huge for us. 
 We think it's an attractive market for a number of reasons, including the fact that renewable energy penetration is very low at this point in time. And in that market, you have auctions run by, let's say, the regulator/government, where prices have been coming down, but you are still able to sign PPAs with private companies at reasonable numbers. 
 So the pricing you might see coming from those auctions might not be, at this point in time, an indicator of the average price in the market. At some point in time, it might be. But today, most of the market is about private PPAs, where you don't have visibility. And we do have visibility that tells us that, as of today, the market is still attractive enough. 
Colton Bean: Great. That's helpful. And then just a quick final one. You mentioned continuing to pursue growth opportunities despite having met your existing target. Would you characterize those primarily as 2022 or beyond? Or could we see additional investments through the balance of 2021? 
Santiago Seage: So we could -- it's difficult, to be precise. We continue -- the target, the $300 million target we shared with you, it's more for you when you run your models to use a number than for us internally. Internally, we try to deploy capital when we see attractive opportunities. So it might be that we still do more investments this year. And it might be that the opportunities we end up closing are more for 2022. But we don't stop when we get to $300 million and taken up until the following year. We try to continue working. 
Operator: Your next question comes from the line of William Grippin from UBS. 
William Grippin: Great. So first one here is just in terms of the growth strategy that you laid out last quarter with the 3 tiers of growth, I was hoping you could talk a bit about the AAGES development arm and if any potential ownership structure changes with the parent there could be coming that might help accelerate some of the international development opportunities. 
Santiago Seage: So with AAGES, as you know, we are not a shareholder. In AAGES, we have a ROFO agreement. It's one of our sources of growth, and we don't control the shareholder structure or anything like that. We have a good partnership. We are working with them in a number of opportunities, and we expect that to continue being the case. But at this point in time, I cannot be more precise than that. 
 In any case, I think that we have enough growth levers as we try to share with you in the presentation you are referring to, which is the year 2020 results presentation, where, if AAGES starts a lots of things and offers us lots of opportunities, let's say, life will be easier. But if that doesn't happen, we'll be able to grow through the other levers. So it's not something that keeps us awake at night at all. 
William Grippin: Got it. And then I guess maybe this one is a little more specific to the U.S. market. But just wondering if you could comment on any changes in CAFD yields for new acquisitions that you might be seeing. I think some of your peers have announced acquisitions at 8% CAFD yields recently relative to the historical kind of 10%-ish yields that we're used to seeing. Could you just comment on what you're seeing there? 
Santiago Seage: No, I think that, with interest rates where they are, I have seen the announcement you're referring to, and I was not surprised. I think that probably, if I were an investor in that other company, I would think that an 8% there probably is enough of a spread. So I have not been surprised. 
 In our case, we have the advantage that we invest in different geographies. So probably we are able to access some opportunities that have better numbers than if we invested everything in the U.S. But given where interest rates are, I don't think that anybody can expect forever that CAFD yields will be exactly the same. In our case, we end up investing not only looking at CAFD yield, as you know. In our case, we -- our primary metric is in IRR. So we want to make sure that we create value long term. And then we look, obviously, at a shorter-term CAFD yield. And in some cases, numbers are a bit higher. And in some cases, number are a bit lower, but I'm not surprised with what you're referring to. 
Operator: [Operator Instructions] Your next comes from the line of Yves Siegel from Siegel Asset Management. 
Yves Siegel: Two quick questions. One is, leverage has moved up a little bit. Can you talk about your targets and what you're thinking longer term? And the second question is that the EBITDA margin looks like it came down a bit. Can you talk about what's going on per se? 
Santiago Seage: Yes. So regarding leverage, as we closed 2 large investments this quarter, the number is higher than in the previous quarter. Our target, as you probably know, is to be in the 3-point-something region in terms of net corporate debt versus CAFD. That's where we are, and we intend to continue in that region. So it's not -- I would say, probably we are where we had told the market we would be and where, for example, rating agencies, we believe, expect us to be. I don't know, Francisco, if there's any other color you want to add there. 
Francisco Martinez-Davis: No, I just think it's perfect. I mean in the discussion with the rating agencies, I mean, the 3-point something works. We do have lower leverage than peers. So as I said, I think, we have signaled the 3-point something, Santiago. 
Santiago Seage: Okay. And then EBITDA margin, EBITDA margins for us, obviously, are different by geography and by sector, but on average, they tend to be fairly consistent. This quarter, we have a bit of a one-off in revenues. That's why the percentage you're looking at is a bit lower. But if you look at the absolute numbers, you see what we believe is a healthy EBITDA growth versus last year. 
Yves Siegel: So there's nothing really going on as far as expenses or anything that... 
Santiago Seage: No. I mean nothing large, significant or whatever we might have had this quarter a bit of higher expenses in an asset here or there, but there's no trend, there's no change, there's no deterioration, if you want, anywhere. 
Operator: Thank you. I will now hand the call back for closing remarks. 
Santiago Seage: Great. Thank you very much to everybody for attending today. Thank you, operator. 
Francisco Martinez-Davis: Thank you. 
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.